Operator: Good morning, and welcome to the Park-Ohio Fourth Quarter and Full Year 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the presentation, the company will conduct the question-and-answer session. Today's conference is also being recorded [Operator Instructions]. Before we get started, I want to remind everyone that certain statements made on today's call may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the earnings press release as well as the company's 2019 10-K, which was filed on March 12, 2020, with the SEC. Additionally, the company may discuss adjusted EPS and EBITDA, as defined adjusted EPS and EBITDA as defined are not measures of performance under generally accepted accounting principles. For a reconciliation of EPS to adjusted EPS and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA as defined, please refer to the company's recent earnings release. I would now like to turn the conference over to Mr. Matthew Crawford, Chairman, CEO and President. Please proceed, Mr. Crawford.
Matthew Crawford: Thank you, and good morning everyone. Welcome to our year end and fourth quarter 2020 call. As I look back on 2020, I can't help but highlight the importance of several parts of our culture here at Park-Ohio. Over several decades, we've built a strong decentralized management team with a diverse set of skills to appreciate our commitment to the entrepreneurial spirit. As our business has grown, it can sometimes be difficult to balance these core beliefs with a desire to optimize short term performance. But last year proved to us once again why we believe so profoundly in these qualities. Our team consistently rose to the challenges quickly and aggressively of 2020. Many of these challenges began in March when we were forced to reduce expenses virtually overnight at the beginning of the pandemic, while meeting essential customer demand and keeping each other safe. We ended the year with somewhat the opposite challenge, scaling our business quickly to meet accelerating demand across much of our business as supply chains became strained and the recruiting environment was and is as difficult as any of us recall. I think it's fair to say our results speak to the fact that we passed the test of 2020. And I want to thank all of our team here at Park-Ohio, and recognize that our core beliefs of empowering each other has again stood the test of battle. I also believe we'll look back at 2020 as having accelerated our commitment to focusing on increased quality of earnings, increased cash conversion and a more balanced allocation of capital. The fourth quarter in particular showed important signs of progress in each of these areas. First, we saw outstanding performance from supply technologies and assembly components with regard to quality of earnings. These businesses continue to improve by focusing on costs but more importantly, by investing in new customers, products and services, which are accretive to our core business model. Regarding cash conversion, the fourth quarter was a particular highlight by generating $25 million in free cash flow, which was approximately 100% of EBITDA despite achieving sequential growth from the third quarter. While this may be a bit above our expectations going forward, we will continue to manage aggressively, working capital targets and capital expenditures, as we leave behind a couple years of above average spending. Lastly, our commitment to strategic allocation of capital provided our company the ability to make numerous targeted investments in value drivers, which provide high returns while improving our long term competitiveness. After doing so, we were still able to support vital strategic growth projects and reduce debt. In short, 2020 has helped us reshape our fund foundation and focus on investment strategy in such a way that we will benefit throughout 2021 and beyond. Speaking of 2021. While we anticipate continuing recovery in many markets and improved overall performance, we are cognizant that several end markets, particularly engineered products continue to suffer. These businesses have regularly provided leadership to our overall performance. And we will continue to invest in these strong franchises to build market share and capitalize on the strong brands in our portfolio. We have no doubt this segment will make significant progress throughout the year and will benefit from the strategic decisions made during 2020 and 2021. With that, I'll ask Pat to cover the quarter performance.
Pat Fogarty: Thank you, Matt. Despite a challenging business climate, we reported improved fourth quarter results compared to our third quarter results in most of our businesses. We saw sequential customer and end market sales increases across each segment of our business. In addition, we continue to execute critical initiatives, which will position the company for increased growth and improved profitability as the global economy fully recovers. Our initiatives included investments in plant consolidation and expansion across all three of our business segments and margin improvement initiatives, which included investments in equipment, product tooling, automation and technology, all aimed at reducing operating costs and increasing efficiencies as volumes continue to improve. We began to see the positive impacts of these actions during the second half of 2020, and we expect a greater impact in 2021. In the fourth quarter, we achieved sequential sales growth of 6% compared to the third quarter. This sequential increase occurred in each of our business segments. Net sales on a consolidated basis represented 95% of prior year levels despite continued volatility and weakness in certain key end markets. Our supply technologies and assembly component segments, both achieved year over year increases in revenue. These year over year increases were more than offset by continued low demand levels in the market serviced by our engineered product segment compared to a year ago. Compared to the fourth quarter of 2019, adjusted operating margins improved 120 basis points in supply technologies and 60 basis points in assembly components due primarily to the benefits from implemented cost reductions and the higher sales levels. In engineered products, adjusted operating margins were down significantly from the fourth quarter of 2019, driven by lower sales, onetime restructuring charges of $1.5 million and higher manufacturing costs primarily in our forged and machined products business. Consolidated cash flows were strong in the fourth quarter as we aggressively managed working capital and discretionary spending, resulting in $37 million of operating cash flows and free cash flow of $25 million in the quarter. As of December 31st, we had total liquidity of $252 million, which included $55 million of cash on hand and $197 million of unused borrowing availability. Our year end liquidity has completely recovered to the levels seen at the end of 2019. In addition, we returned approximately $11 million to our shareholders in share buybacks and dividends during the year. Turning now to the details of the fourth quarter. Net sales were $360 million compared to $340 million in the third quarter, and $380 million in the fourth quarter of 2019. We saw sequential improvement across the majority of our businesses except in our forged and machined products business, which continues to be affected by weak oil and gas, aerospace and defense and rail demand. Our fourth quarter adjusted gross margin was 14.5% compared to 14.6% in the third quarter and 16.4% a year ago. Margins continued to improve on a sequential basis in the majority of our businesses as volumes continued to recover, and due to the positive impact of our restructuring efforts. Fourth quarter SG&A expenses were down 15% compared to a year ago to $38.2 million compared to $44.8 million in the prior year, again, driven by our cost reduction actions and lower discretionary spending throughout each business. On an adjusted basis, operating income in the quarter was $13.6 million compared to $18.1 million a year ago. Both supply technologies and assembly components reported strong year over year improvement in operating margins, which were more than offset by the margins in our engineer product segment. In the fourth quarter, our GAAP earnings were $0.46 per share and adjusted earnings were $0.53 per share. Now I will make a few full year 2020 comments. First of all, we ended the year with consolidated revenues totaling $1.3 billion, down 20% compared to 2019, which resulted in a GAAP loss of $0.37 per share and on an adjusted basis earnings of $0.01 per share for the year, all of which were negatively impacted by the global industrial shutdown caused by the pandemic. A few positive items to note for the full year starting with SG&A expenses, which were down $24 million, a decrease of 14% below 2019 levels. Also, interest expense decreased by $3.5 million in 2020 compared to 2019. The decrease was a result of lower interest rates and reduced average borrowings during the year. Our full year tax rate was a benefit of approximately 34% compared to expense of 28% a year ago, with the higher benefit rate in 2020 due to various changes in regulations resulting from the CARES Act, which was enacted in March of 2020. As a result, we are able to carry back 2020 US tax losses to prior years when the US statutory tax rate was higher. Now I'll comment on our segment results. In supply technology, strong customer demand resulted in sales in the fourth quarter of $143 million, which was up 5% from 2019 sales and up 8% sequentially. Continued sequential improvement was seen in most end markets, most notably in the heavy duty truck, power sports, agriculture and industrial equipment, aerospace and defense and the medical device markets, the demand increases we're seeing throughout every region of supply technologies. Total average daily sales increased to their highest level since the third quarter of 2019 despite continued weak demand in the aerospace and defense market, which is significantly below 2019 levels. Our fastener manufacturing business also showed strong sales in the fourth quarter, increasing 7% compared to a year ago as our auto related customers increased their demand for our proprietary SPAC products year over year. Segment operating income improved 150 basis points quarter-over-quarter to 7.1%. This increase was driven by cost reduction and margin improvement efforts and by the higher sales levels compared to a year ago. In our assembly components segment, net sales in the fourth quarter were $132 million, up 2% compared to the 2019 period and improved 4% sequentially. Sales in the fourth quarter were also at their highest level since the third quarter of 2019, reflecting the strength of the automotive market and our continued launch of new programs. This segment has taken significant actions to restructure the business beginning in 2019 and accelerated additional restructuring as a result of the pandemic. Onetime charges were $4 million in 2020 and $3 million in 2019, which related to plant closure and consolidation activities and employee termination costs. We began to see the margin benefit from our initiatives in the third quarter this year with continued improvement in our fourth quarter results. Segment operating income in the fourth quarter of 2020, excluding onetime charges, was up 130 basis points sequentially and 60 basis points compared to the prior year. Adjusted operating income in the quarter was $10.1 million compared to operating income of $9.2 million in the 2019 period. These improvements in operating income and margin reflect the improved flow through resulting from the increase in sales. Our products in this segment are well positioned for future growth as they are oriented toward key automotive trends, including fuel efficiency, reduced emissions, lightweighting and vehicle electrification. And finally, in our engineered products segment, sales in the fourth quarter increased $86 million, up sequentially from $81 million in the third quarter. The sequential increase was primarily driven by new equipment sales and aftermarket sales in our induction and pipe threading equipment products. Despite the sequential improvement over the third quarter, fourth quarter sales in this segment approximated only 75% of prior year levels due to the slow recovery in steel, oil and gas, aerospace and defense and rail end markets. Operating income in this segment after adjusting for onetime plant consolidation cost totaled $700,000 compared to $1.8 million in the third quarter. The decline in profitability in the 2020 period compared to a year ago and the decline from the third quarter were driven primarily by lower sales levels and higher manufacturing costs in several of our forged and machined products locations. Currently, we are seeing increasing order activity for new capital equipment over fourth quarter levels, and we expect sales of our forged and machined products to gradually improve throughout 2021. We believe our ongoing margin improvement initiatives in this segment will improve our margin profile once volumes return. As we begin 2021, we believe many of our end markets will continue to recover throughout the year despite early component shortages and weather related issues affecting the auto sector early in the year. For the full year, we are targeting our consolidated revenues to increase 8% to 12%, and improved EBITDA margins of 150 to 200 basis points over 2020 EBITDA margins of 5.6%. Also, we are targeting capital expenditures of $28 million to $32 million and free cash flow conversion to be greater than 75% of net income. Now I'll turn the call back over to Matt.
Matthew Crawford: Great. Thanks, Pat, for the overview, and we're now ready for questions.
Operator: [Operator Instructions] Our first questions come from the line of Steve Barger with KeyBanc Capital Markets.
SteveBarger: Good to see you back on track for growth and margin expansion. Is the revenue outlook based primarily on assumptions for market recovery against easy comps, or do you have some specific initiatives that you expect are going to drive some outgrowth for you?
MatthewCrawford: Both. Pat can clean this up a bit. But no, I think we saw a lot of momentum in the fourth quarter. So we have a sense, I think, for where some of the key markets are going, particularly in terms of supply technologies and assembly components. And I think we're beginning to feel a little more confident about some of the end markets in engineered products, particularly as we head into the latter part of the year. So, no. And of course, separately, we have certainly built in the initiatives that we're continually working on in terms of new business and so forth. I was interested to learn that we added 210 new customers last year at supply technologies. So as you know, we've addressed and focused a lot on the mid market recently. So many of those are not large customers. But the reality of it is, no, there's a very specific growth plan for each business, and we're excited to see that build on itself during 2021.
SteveBarger: So the normal sequential pattern is for revenue to go up from 4Q to 1Q. So you expect that will hold this year as you start the year?
PatFogarty: I think some of the issues early in the year will have somewhat of an impact on our first quarters revenues, especially in the auto sector. That's an evolving issue relative to the microprocessor chip shortages. Obviously, weather related issues, we believe, are behind us. We think that's solely a first quarter or first half of 2021 issue with kind of a more production level of normalcy in the second half of the year. So sequential improvement quarter over quarter is still somewhat up in the air just because of some of those issues I just mentioned.
MatthewCrawford: Steve, again, we see the momentum building throughout the year. It was a remarkably volatile fourth quarter in the sense that there was a lot -- where a lot of people replenishing their inventories. So we saw significant and unusual spikes in demand in some key customers. So that's why I think it gets a little bit difficult to ensure a positive comp quarter over quarter.
SteveBarger: And it sounds like you have lower expectations for engineered this year versus the other two segments, which I think makes total sense. I guess when I think about supply technologies and assembly components having similar comps from 2020, which do you think outgrows as the year progresses? Is it easier to see that in supply tech, or do the comps in assembly make that more likely to see the outgrowth?
PatFogarty: Yes, Steve, I would say that in assembly components, we'll probably see a more accelerated growth as the year progresses just because of new product launches that have been ongoing that were delayed in 2020. But we have, obviously, end market improvement happening in supply technologies. Where we really haven't seen much improvement is in our aerospace and defense business. We expect that to start to pick up throughout the year. But overall, to answer your question, assembly components is where I'd see a greater level of growth as 2021 continues.
MatthewCrawford: I would only add, Steve, part of the reason there, too, is supply technologies performed pretty well during 2020. They, of course, struggled in the second quarter, but they rebounded more quickly and more effectively at both the top line and the bottom line than either of the other two businesses, which isn't a surprise. So they have less ground to make up.
SteveBarger: And Matt, difficulty in recruiting workers was an issue we talked about pre pandemic across the industrial space. As you noted, it's harder now. I know you made a lot of investments last year, but when you think about CapEx going forward, are you continuing to invest in robotics or automation just to have that capacity multiplier as end markets recover?
MatthewCrawford: Absolutely. And when you hear me talk about more focused and strategic allocation of capital, one of the things I'm trying to speak to is our desire to not only improve our long term competitiveness but make sure that in the areas of our business that are the highest value add, that we're not at the mercy of whether or not people show up to work. So certainly, automation and robotics have increasingly important role in our capital allocation. It doesn't mean we don't have hundreds of job openings right now, and we will continue to, unfortunately. But no, there's no question that automation is playing a bigger role.
SteveBarger: And which segment would we expect to see the most targeted investment to try and kind of alleviate that labor issue?
MatthewCrawford: I think, to some extent, all of them. I think because of the significant -- the large volume manufacturing processes that we see in automotive, they're probably the most obvious choice an answer to that question, a lot of repetitive work there. Having said that, our warehouses continue to be obvious examples of where we can invest to increase productivity and still have opportunities for growth in employment. And the same thing goes for parts of our engineered products group as well. So I wouldn't say any single place, but automotive jumps off the page is the best opportunity.
SteveBarger: I'll ask one more and get back in line. As we've gone through earnings season, we're hearing more about input cost increases. Can you just talk about what you're seeing in terms of inflation for steel or manufactured parts? Just talk through nonlabor supply chain constraints that you see.
PatFogarty: Well, you said a couple of different things there. I'll take them in reverse order. Supply chain constraints are significant, particularly from overseas. I know you're aware of some of the issues regarding container shortages, backups at the ports, custom and border issues. This is a massive issue, particularly for products coming in from offshore. So it's unclear how that will play out to me at this point throughout the rest of the year, but supply chains are absolutely strained for those reasons, labor and others. And yes, I mean, there's no question, there's inflation creeping into -- creeping, showing up in raw material purchases. As you know, in most cases, we have non financial hedges, meaning we've got relationships either contractually or the nature of our relationship with our customer allows us to pass through some of that pricing impact. Having said that, Steve, it's a real issue, and it just can't not show up in the numbers during 2021.
Operator: Our next question has come from the line of Marco Rodriguez with Stonegate Capital Markets.
MarcoRodriguez: I was wondering if maybe you could spend a little bit more time kind of on the process improvements and manufacturing efficiencies that you guys have enacted throughout fiscal '20. Just while I understand that, obviously, you're always going to be striving for operating efficiencies, and it's an ongoing process. Maybe if you can talk about those projects that you did in fiscal '20 and whether or not you've sort of kind of harvested the low hanging fruit already, or if maybe there are some additional efforts that are kind of implied in your EBITDA margin guidance expansion that could further add operating leverage into fiscal '21?
MatthewCrawford: Marco, no, it's an ongoing process, to be clear. I think that the work that's been done, particularly in supply technologies and assembly components has been formidable, and you see it in the fourth quarter numbers. So I think as we adjust and think through how the end markets and engineered products will recover, Pat mentioned some of the critical ones, rail and oil and gas and defense and larger infrastructure items. There's a lot at play in that, both from a sort of geopolitical standpoint and from an end market standpoint. So I think that that's more of an ongoing opportunity for us in that segment. And those include across the board during 2021 reshaping and resizing of our manufacturing footprint. So we've touched a number of facilities throughout our business, and we'll continue to do through 2021. You've seen it play out in some of the restructuring charges, and it will continue to play out. So those are significant as we address locations or places where we have unabsorbed overhead, and we anticipate seeing it in the future. So no, I think it's an ongoing project.
MarcoRodriguez: And then just kind of in regard to the adjusted EBITDA margin guidance of 150 basis points to 200 basis point improvement year over year. Just kind of based on some of the questions you had earlier, maybe engineered products is not going to have as great of a year as the other two. But just kind of wondering if you can talk about the expectations for the margin expansions in fiscal '21 through supply technologies and assembly components?
MatthewCrawford: So Marco, before Pat, jumps into that, I want to take head on this issue about engineered products. I mentioned in my comments, this is a business which has traditionally led in a real leadership position relative to our overall financial results. So while we are cautiously optimistic as the year goes on, and we recognize that a number of these businesses are late cycle capacity building businesses, and we're not sitting on our thumbs. We're extremely excited about these businesses. These continue to be the areas we have some of the best opportunities for expansion in the highest margin businesses we own. Our R&D efforts there are rejuvenated, our efforts to ensure that we have the right share of wallet for our massive installed base on the equipment side. So I just want to make sure before Pat jumps into that and recognize that the engineered products business is a late cycle business. We've been here before. It's a little worse this time, candidly, because I think of some of the issues in the oil and gas sector and the aerospace sector. But to be clear, there's some really good things happening there. So with that, I'll hand it off to Pat, let him address your question.
PatFogarty: Yes, Marco, I would comment that the incremental margin improvement that we're going to see is going to occur in each of our business segments. So it's not skewed towards supply tech or assembly components. We expect improvement in each of them. I think in assembly components, as we wind down the completion of the consolidation of various locations, we're going to see a greater level of expansion in margin in that business segment. When volumes return in engineered products, which as I mentioned in my comments, we expect to gradually improve throughout the year. We're going to see margin expansion there, coupled with the fact that we have a number of initiatives that are in place and underway that should be completed by the end of the year. So it's going to be across all three business segments.
MarcoRodriguez: And then Matt, just kind of coming back to the comment that you made here on engineered products, very helpful and also in terms of your prepared remarks about kind of refining your allocation of capital to your more strategic products and services, and I know you sort of addressed part of that from a manufacturing and footprint on a prior question. But wondering if maybe you can kind of just remind us here and highlight what exactly are those particular products and services that you sort of see as the most strategic for your long term growth? And then if you can, any sort of timing on that reallocation of capital to those products and services?
MatthewCrawford: I appreciate the question because I think I've commented on prior calls that we sort of, over the last 24 months, have vetted our portfolio and are trying to be much more focused and strategic on where we think we have growth opportunities at very accretive margins. So when I think about supply technologies, and again, this is a bit of a stream of consciousness. I apologize. But I think about expanding some of our product portfolio. We've talked about MRO in the past. I'd mentioned connectors as a highlight. Really, the electrical connector space has been an exciting new area for us. In assembly components, value add machining. As you know, we're big in the casting space. We do a little machining. But understanding how to bring value add to our customers is really an important component of our growth in that space and comes at better margins. I also think about -- we are really good at extruding rubber hose, and we're very efficient and our sort of body of work begins in the fuel space. But today, we are highly focused on leveraging those assets for fluid hose in the EV space, coolant hose, washer hose, for cameras and sunroof seals. So the electrification of a car in and of itself, whether that means the powertrain is or other aspects of the car, provides more need for protection, seals, gromets and so forth. So fluid management, non fuel, is a big part of our business and leveraging assets that are the best in the business. And when I think about our capital equipment business in engineered products, I mentioned just briefly, focusing on the high margin aftermarket business and making sure that we're getting more than our fair share of our own embedded equipment is, I think, a great starting point. And while I think, traditionally, we've done a wonderful job in that space, I think focusing on it and marketing it and providing independent leadership is an opportunity for us. And R&D. I mean, we've got -- that business was built on tremendous R&D and intellectual property over the years and making sure that we're not losing sight of what built that business will continue to build next generation products. All of which, again, are accretive to our margins. So a bit of a stream of consciousness there, and I apologize. But candidly, there's 50 different opportunities that are sort of transitional opportunities inside of these businesses.
MarcoRodriguez: Last quick question for me. Matt, maybe you can kind of update us on the M&A opportunities you see, valuation levels, maybe kind of discuss how those opportunities might be evolving. or how you kind of expect them to evolve kind of given the vaccines are now starting to be distributed nationwide and worldwide?
PatFogarty: Park-Ohio was built on acquisitions and we expect that to continue. The marketplace and the valuations that we're seeing are extremely high. Money is cheap. And so that is a problem for us because of the way we buy and the expected returns that we get on our acquisitions. But we're going to continue to look for strategic acquisitions where appropriate. And until rates start to increase, we may not see valuations drop. But I think with companies that are strategic to us, we're able to find values and we're seeing deal flow start to pick up.
MatthewCrawford: Marco, I would add that we don't predicate any earnings forecast or revenue forecast or any forecast based off acquisitions we haven't done. One of the things I like about what's in our DNA is, sure, we would love to add meaningful strategic businesses. We also recognize, as Pat said, the valuations are sky high right now. But guess what we also do really well? Our leadership team sources modest sized deals, too. So just because we may feel as though some of the larger transactions are out of reach as a valuation that doesn't mean we're not going to be active. And we're going to be active in businesses that are accretive, again, along the lines we've mentioned. Accretive to earnings, great business models growing, the kinds of things that are strategic, not just to our business but have great glide paths on their own. They just might be a little smaller.
Operator: Thank you. Our next questions come from the line of Sarkis Sherbetchyan of B. Riley FBR.
SarkisSherbetchyan: Just wanted to comment or ask you just wanted to ask you about your comments around managing working capital and CapEx. Just wanted to kind of pick your brain and understand if you have kind of a new philosophy on how you're managing working capital relative to your maybe sales line or relative to kind of any shift in philosophy given the market backdrop? Just trying to understand if anything's changed there.
PatFogarty: I think nothing has really changed. Our focus historically has been to manage working capital and keep it as low as possible to generate and maximize our free cash flow. I think each of our business units focus on that and actually have incentives to maximize those levels. So nothing has changed. I think the pandemic has forced not only us, but a lot of companies to do whatever was necessary to improve the liquidity during that four month period of time. So maybe a renewed focus is a better way to put it. But I would say nothing materially has changed in our philosophy around working capital management.
SarkisSherbetchyan: I guess the other question I have related to this is, are you keeping kind of higher stock of strategic supplies, just given the supply chain constraints we're seeing just across the board in the industrial landscape?
PatFogarty: I think, Sarkis, we're being opportunistic in certain cases where we feel supply chains are threatened and probably holding a little more that's evolving as the quarter moves on. But, yes. So we're protecting our inventory and our service to our customers, and that may take purchasing additional inventory.
SarkisSherbetchyan: And I think looking at your top line guidance and EBITDA kind of expectation for EBITDA margin improvement. Certainly appreciate you guys giving more transparency and color around that for the year. If we didn't see kind of the chip shortages and what's going on in the auto sector, would you have had the opportunity to provide stronger numbers just because, if we look back it ‘20 it seem like an extremely soft year, right? So it seems like you had an opportunity to provide stronger guide. Just want to see if the first half is giving you guys kind of hesitancy or some issues.
MatthewCrawford: I don't know if I would say quite that way. Most of our first half forecast is built largely on kind of what we think and know about releases from the customer. Having said that, you've identified a risk. We don't know what we don't know in terms of some of these issues. And whether it's weather in Texas and the southern border preventing product in from Mexico, which slows down some of the OE space, or whether it's a chip shortage or whatever it is, these constraints you've identified and labor and COVID, continue to be a significant risk to our forecast. Having said that, I think our process builds in some of that risk. So to the extent things go better than expected, whether it’d be the vaccine or whatever comes our way, I think there's an opportunity there. But no, I don't think we've specifically sort of built that in.
SarkisSherbetchyan: And I think if I look back historically, the business has been able to do high single digit EBITDA margins at certain sales levels. Just want to kind of get a sense for as you continue growing the business and all the cost actions you've taken out, do you think you can get to a better EBITDA margin rate, certainly as we move past the recovery phase in ‘21?
MatthewCrawford: The answer is definitely yes. We would expect to do superior margins as we approach historic revenue levels. Having said that, again, we continue to need to do our work at the engineered products group in terms of some of the restructuring items, and we need to see some recovery in that segment. At the end of the day, that is a leadership business for us from a margin perspective.
Operator: Our next question comes from the line of [John Baum].
UnidentifiedAnalyst: I want to complement you on the tremendous year. 2020 was a year of full surprises, but where we finished up is it looks tremendous, and the equity itself has responded accordingly?
MatthewCrawford: I appreciate, John. I don't think there's still a lot of action, as you know. And as I mentioned in my opening comments, John, you know some of the people here. It would be hard to express the -- we didn't work at home. I mean this is a business that people went to the plants every day, people at the offices of the plants went every day. And the credit goes to them, bottom line.
UnidentifiedAnalyst: I do have one question, kind of open ended, regarding capital allocation, and I'll let you answer it and go from there. I do see the $125 million shelf offering, mix debt equity. Just kind of thoughts, has that been funded? Are you looking at additional debt? I mean, right now, your lines of credit are pretty strong. And would that be leaning maybe towards equity, or are we looking at -- would this only be contingent upon an acquisition? Kind of an open ended question, I'll just let you respond accordingly.
PatFogarty: That registration was really to refresh prior registrations and in no way was there a pending debt offering or an equity offering solely to refresh prior registrations.
UnidentifiedAnalyst: One final one, Pat, to you. Did you give what the what you looking for an effective tax rate for 2021 to be?
PatFogarty: Between 27% and 29%, John.
Operator: There are no further questions at this time. And with that, I would like to end the call. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time, and have a great day.